Olivier Rigaudy: Good morning. Let's get started. Thomas, you start.
Thomas Mackenbrock: Yes. Good morning, everyone, and a warm welcome from Olivier and myself to our annual press conference for the year 2024. In usual manner, we will talk about the key highlights. We will deep dive into the financial results of last year and Q4. We will provide an outlook for '25. We will also provide you some updates and first glimpses in our new strategy with regard to AI because that has been a constant topic of questions from our investors. And of course, we are open to Q&A from your side. So, what are the highlights? As you have seen, 2024 was a year for us where we have achieved all our financial results. TP has, for the first time, delivered more than €10 billion revenue, which means a statutory increase of 23%; on a like-for-like basis, 2.6%. With these over €10 billion revenue, we generated more than €1 billion in free cash flow, actually more than €1.08 billion free cash flow, and you will see later the source of that. So, a very highly resilient and strong business model. And what's also nice to see that we have accelerated the growth momentum last year quarter-over-quarter, which, I think, shows the dynamic and the resiliency of the business. We have also increased the margin a bit, and I think there has been some question around what is up and what is [indiscernible], but there is a margin expansion last year. And what is very good to us to see, obviously, the core business, our BPO business, which is around 85%, 86% of the business, saw a very strong second half of last year. We have delivered that you have an idea in Q4, almost 4% in that area. And one big part of that business, the EMEA region and the APAC region, have delivered more than 7% in Q4 last year. So very healthy growth, and the teams did a great job. Specialized Services also proved to be a strong and resilient business with double-digit growth last year. We had a special effect as one of our visa services business, a -- long-standing visa services businesses was not renewed, unfortunately. So from that perspective, there was a little bit dip in Q4, and you will see later the detailed numbers. And the third big element for last year that the integration with Majorel is really well on plan. We are right on track to deliver the €150 million, as indicated from the beginning. And last year, we recorded over €90 million in synergies generated out of that plan. So that's '24. You also have seen, obviously, we are a company that try to drive shareholder value. And from that perspective, we drive a capital allocation that try to enhance it. We have executed a share buyback program of €500 million, as you know, of which €184 million were delivered last year. We did announce in November last year and we just got the regulatory approvals at the beginning of February of ZP. This was a $490 million acquisition to further strengthen Specialized Services. And starting February 1, we are consolidating this business. We are also proposing to the AGM that will be held at the end of May an increase in the dividend to €4.20 per share, which is a relevant increase, and the payout ratio will go up to 48%. And we continue to be debt -- with our strong market position, having also a strong balance sheet is critical, and we are reducing our debt exposure. And end of last year, we were at 1.9 debt-EBITDA ratio. As you also know, that's why the 2 of us are sitting here, we also made some advancements in the governance. Moulay Hafid took over as the Chairman of the Board of Directors, separating the role with Daniel. And I must say, the last 5 months working with Olivier, Moulay Hafid, Daniel has been really tremendously productive, I would say. It's been a lot of pressure -- a lot of -- not just pleasure, but also hard work. So it really works quite harmoniously from that perspective. What is also interesting to note, the Board meeting yesterday nominated 2 new Board members to the Board of Teleperformance, Mehdi and Vera, who will be, I think, great assets from an AI perspective and from an international finance and Africa perspective to the Board. Mehdi is the Chief Product Officer of AI71. This is one of the prominent AI companies in Abu Dhabi, and Abu Dhabi has very ambitious plans when it comes to AI, and we are very lucky to win him to this role, obviously, subject to the AGM approval. And Vera has been a very prominent Director of the World Bank and IFC, and it's also great if she can strengthen our exposure there. So that's in a snapshot. And maybe a few words why we believe that these current times of change are good times for TP. So obviously, in these times of change, we have to grab at these opportunities, and we believe we can do this from a position of strength. TP today is present in the digital business services market, and you see many new developments when it comes to data annotation, data labeling, AI consulting, back-office processes, F&A. We do believe this allows us to tap into these markets and to drive mid-single-digit medium-term growth for the company as a whole. We also see pockets of growth, and I will talk about this later, where we see that this new disruption, this integration of human intelligence and AI offers us new opportunities. Second comment. It's interesting to see after 2 years of generative AI, and we are now entering almost the phase of agentive AI that the notion that the world becomes AI or ubiquitous AI, I think, is well understood. But the value of the human connection, I think, is seen and seen more in this conversation, and we believe TP, with almost 500,000 people, is well positioned to drive this integration of AI and EI because it's not a contrary relationship but a complementary relationship. We also see, these days, a lot of opportunities of driving the business beyond the classical front-office business. When you look at our numbers, we've seen double-digit growth in our back-office services. And we believe the opportunity to become more verticalized, to move front end and back end, will be one of the key strategic imperatives for us going forward. And we will continue to invest, and we have done investments last year in that respect. The trend of bestshoring is not a new trend. Many of you have seen it. We believe it will continue despite these technological changes. For us, the last years, India was a big driver of growth. We have now there 90,000 people. And we believe having India, the Philippines, Latin America but also Africa will be a key component and a relevant component for us going forward that you have an idea, we have now 50,000 people in Africa in 11 countries, which puts us really in a very prominent position. And we will spend some time also later this year to strengthen Africa further. And obviously, in a year -- in an area of uncertainty and change, being the market leader allows us to operate from a position to strength. We believe that quality, the ability to invest in innovation and the financial strength of the group gives us a good value proposition, not just for us, but in particular, for our clients and employees. Obviously, we are a company that combines 4 critical dimension: people, process, technology and expertise. And we have done and will do so in the future, continuing to invest in these areas. We have launched last year a company-wide AI and EI upskilling program. We have now trained more than 60,000 people, sort of supervisors and above, and we have rolled out, for more than 100,000 people, EI, so emotional intelligence training. We also have done significant investment to strengthen our business development and sales teams, in particular, in the U.S. but also EMEA and APAC as we see this as an investment in future growth for the company. Processes. TP has been, for decades, one of the leaders when it comes to process excellence, and we have updated, as I indicated in our Q3 numbers, our TOPS and BEST, these are the programs, so it's called internally, including AI and EI elements. The teams are on full charge rolling this out, and we will be expecting by the end of March to have 20% of our operations onboarded on these new TOPS and BEST programs. We continue to launch AI projects. So that's something that hasn't stopped. We have sort of implemented more than 200 new AI projects for our teams. You will see later also the statistics that around or more than 700 clients have now implemented AI applications inside their operations, and we will continue to do this. Most of our AI applications and solutions are based on TP's microservices platforms, which simply means that it's like a cloud-based solution that can seamlessly be integrated into workflows. And we believe being more open to AI partnerships is something that is valuable, not just for us and the AI companies but also for our clients. So you saw the announcement that we have done last week, I guess, with Sanas AI, and there is more in the pipeline. So we will open up a partnership ecosystem when it comes to technology. And expertise. As I said, I really do believe in this extension of the value chain. We saw really healthy growth and continue to see healthy growth on the back-office side. We saw new wins on data labeling, and we believe this is an area we will focus on in the future. And we have done further investments, hiring new teams when it comes to BFSI, health care, IT-as-a-Service as well as F&A. Here, you have the statistics. I think you will see later more details from Olivier. What's important to note, I think, is really this acceleration in the second half of the last year and, really, the very strong performance of the business when it comes to EMEA and APAC, so 7.3%. The teams have done a fantastic job. Specialized Services sustained their growth with 10%. Obviously, we have this special effect that had led to some reduction of the growth momentum in Q4. And you might have seen it has obviously also an impact for our guidance for this year. We believe that this is a nonrecurring event as all the other contracts of TLScontact are not up for renewal until 2028. Shoring. I think the statistic is pretty clear. It's pretty much the trend that we have seen in the last years. The verticals. I think many of you when I entered talked about that TP strength, that it's resiliency. And I think this is part of it being broadly diversified across many verticals. We continue to see very good momentum when it comes to, as I said, the banking space, travel, hospitality, tech and health care. When I say very good momentum, in particular, when I think about health care, yes, it's growing, but we can grow much more. It's an interesting opportunity for us. So we will continue to invest in this area. On the other hand, even so, I still believe there are many opportunities, we saw some reduction, for instance, in the telecom vertical. What also stands out, our strength in government services. This is particularly true for EMEA and the U.K. So we have won there some relevant contracts. And we believe having this broad, diversified portfolio but with a clear focus on how to integrate and expand the value chains, as I said, on the back-office side when it comes to tech, health care and banking will be a crucial focus for the future. Talking about this, you know this chart by business line. Roughly half of the business is customer experience, customer care. 4%, but still over €400 million is back office, growing double digit. And also B2B sales, trust and safety, which includes the data annotation business is something that we want to grow further. ZP, I said it before, we're happy to have received the regulatory approval from the relevant bodies in the U.S. We are now consolidating the business, and already, the first integrations team are underway. It will be part of our LanguageLine business in the U.S. ZP is headquartered in Austin, and the teams are now working together not just to deliver the synergy program but also to have a more forceful go-to-market on that space. I do really believe having with LanguageLine and now ZP together, one of the prominent player in language solutions and interpreting services, is a key asset for us. I think there, we really have a jewel that we want to expand in the future. The other one that might be interesting for you is we talked about expanding our AI partnerships with a €100 million program this year is Sanas, which is a first example of that approach. Sanas is a company based out of Palo Alto that have provided a fantastic solutions. We have been working with them for quite some time with some client implementations that is a non-latency, real-time accent translation. What does it mean? It's a technology that allows to neutralize accents in real time without any data storage. You have obviously the issue we talked about human connection, human empathy. We have first implemented Sanas with clients in India. And sometimes, there is a difficulty for people in India talking and vice versa with clients from the U.S. What Sanas allows is to neutralize typically all background noise but also allows an accent translation that enriches understandability between both parties, which leads obviously to lower average handling time, higher customer satisfaction. I have an example with you now. They have now expanded to the Philippines. And the idea is that we do 3 things: first, roll this out to other territories. So we will jointly train the model. Obviously, you have Latin American dialects, dialects not just in English but in Spanish and French and all kinds of languages. So this is one growth area. The second thing is that we will become -- or we are -- we became the exclusive reseller for the Sanas technology for many of the world's leading brands. So that's another revenue stream for us. And thirdly, we are continuing to expand and roll Sanas out in our own operations with many of our clients. To give you a sense that you have an idea on Sanas, so we brought here 2 examples and that at least -- because what does accent translation actually mean? But it is a great example how AI, coupled with our human empathy, drives better outcomes. And this technology is essentially a way to create more closer and intimate relationships. So first, an example without Sanas, I hope it works. [Audio/Video Presentation] I hope to give you a sense. There's, of course, more to look on Sanas AI as an example. But that's the way for us to enrich this human side because we believe it's really the combination of both that drives better outcomes, and the results are promising. So we have implemented it now in 15 client situations, with great results on customer satisfaction, as I said, higher efficiency and also more confidence, obviously, on the TP expert side. Let's move on. Let's see if it works. Mehdi and Vera, I talked about it before. Again, it will be up to the annual meeting in May to get it approved, but we really believe strengthening our Board -- the Board composition with people who have expertise on the AI side. And Mehdi is an excellent person. I think he really worked before at Google DeepMind, really understands deeply not just the foundational models but also the application and now works very closely, obviously, with the Abu Dhabis to enhance their very ambitious AI strategy going forward. And we are very lucky to have him on board. And Vera is, as I said, a senior expert, working IFC, World Bank, on Africa but also on broader international finance topics to strengthen the governance and the Board composition. Last but not least, you might have noticed for those of you who have been here not just the first time that we have a little update on our logo because obviously, as we enter this chapter, not just being Teleperformance, about customer care, and we are more a digital business service company. We are moving our brand from Teleperformance to TP. This is already the name that many of our clients use to call us, in particular, in the U.S. TP is simple. It's a shorter website, so tp.com, not longer teleperformance.com. And it's also a way sort of to symbolize the brand that we are focusing on more end-to-end verticalized digital business services. We have sort of -- we keep the legal name, so no worries from that perspective, but at least our branding, website, et cetera, will be focusing on TP essentially as that's what we are standing for and will stand for in the future. We have prepared a little video, I think, 30 seconds before we go into the dry matter of all the financial numbers. And then let's start it now. [Audio/Video Presentation] It's also different color, and the website should be live today. So Olivier, over to you on the financial numbers.
Olivier Rigaudy: Thank you, Thomas. Good morning to all. I'm here to try to explain to you the figure of 2024 and the guidance for 2025. First of all, just wanted to show the global P&L. We are here looking to 2024 versus the figure reported last year and the pro forma figure that I remember you that as reported, are only with 2 months of Majorel while the pro forma is, of course, with 12 months of Majorel. What I can say is the main takeaway are, for me, the following. The first one is that full year revenue and recurring EBITA margin are in line with objective. Second thing, there are significant impact of nonrecurring item and accounting tax charge on net result, which have no impact on the cash. I'll come back in a minute to that. But this is something that I just wanted to highlight. And we have an adjusted net result, which is up by 10.2% versus last year, which is something which is key to notice. Let's move to the figure itself of the -- it works -- of the results -- of the sales. As you can see, we had 10 months of Majorel because we remember that we consolidated Majorel 1st of November last year. So we have 10 months to add in 2024. And we had a currency effect, which is €110 million, roughly the same that we had at the end of September, which is made of 3 major currency change -- 4 major currency change because we had a complex life this year with currencies. As an example, Egyptian lira account for €67 million here out of the €110 million; Turkish lira, €21 million; and Brazilian real, €18 million, while you have exactly in the opposite, positive impact of the Colombian pesos and, of course, the British pound. All of that is a mix evolution of the currencies that didn't help all the group all along the year. And after you have the real growth, which is €257 million that we have been able to deliver in 2024, knowing that if you look the figure at the end of September, we were at €155 million. That means that we have been able to deliver €100 million sales above in Q4 versus €157 million over the first 9 months. This is something I just wanted to highlight and shows the acceleration that has been explained by Thomas a minute ago. What happened? In fact, I think that it's interesting to see what happened in 2024 versus 2023. We have been hit, you remember by the reduction of the growth all along 2023, still being positive -- but still growing but at a lower pace. And now gradually, in 2024, we came back to the growth path, accelerating all along the year. I remember that when we issue a figure at the end of Q3, people were questioning whether we will be able to deliver a higher growth in Q4 than Q3. Yes, we did. And I just wanted to show it again because this is a question that was raised at that time, and we have been able to do it. Clearly, we know that there is this acceleration of growth will continue in 2025, even knowing that Q1 will be, in 2025, hit by the fact that it was in 2024 was a leap year. So -- and you have a calendar effect, specifically in Q1, that has an impact -- that will have an impact to the growth in Q1 2025. So again, acceleration of growth, and we delivered that what people were doubting that we were able to deliver in Q4. If you look the figure, again, I'm not going to be long on that. It has been mentioned by Thomas. If you start by the Q4, of course, you see that the core service is growing on the quarter by close to 4%, 3.8%, mostly led by Europe and Asia Pacific. And we were able to deliver specialized service at 5.2%. If we wouldn't have had this problem in TLS, the nonrenewal of the contract in TLS, we would have achieved 5% -- 10% in specialized service and 5% for the quarter. So growth is back. And of course, has an impact on the full year, we are at 2.6% for the full year, in the guidance that we have set up at the beginning of the year. Let's move to the margin because this is something that probably interests you much more from what I understood. What I can say is that we have achieved our guidance related to the progression of the EBITA margin in 2024 versus 2023 pro forma margin, thanks to 2 things: the combination of a mix effect, as you see, the growth of Specialized Services, so higher margin has an impact and also the ramp-up of the Majorel synergies that amount to €94 million in 2024, which have been partially reduced by investment in our business and business development function. We decided to put some money to nurture the growth in 2025 and beyond. There is another impact, which has been clearly significant. And I mentioned earlier on, the FX impact that hit us in 2024, which is the FX, which there are 2 effect. One is the translation effect, the other one being the transaction effect. Translation effect is basic. If you take the figure of 2023 and you put them at the 2024 rate, FX rate, you have a decrease of 30 basis points linked to that. And we have also roughly a transaction effect in the same size, mostly coming from the Lat Am region, coming from the Colombian pesos and the Mexican pesos. Clearly, this adverse FX represents roughly 60 basis points, split equally between translation and transaction, and this is what I just mentioned a minute ago. So without this effect, in fact, we are delivering 10 basis points more, aiming -- able to swallow the FX effect and the investment in business development team. What happened on the Majorel integration? I remember you, we have a defined initial run rate target of €150 million. As far as today in the P&L in 2024, we have been able to book €94 million of cost synergy. The implementation costs are €58 million recorded in 2024. And we expect to make again €20 million to €30 million more of cost in 2025. You have, on the right side, the main issue of the target, the main place where we have made the target. To make it simple, it's labor and operation. That's where we have been -- we have delivered. There are still work to be done, mostly on IT, mostly on some certain sites. Most of them will be done in the second part of the year, notably on IT, where some -- most of the contracts that we have decided to change are elapsing at the end of July -- at the end of June, sorry, so we will have the impact in the second part of the year. Lastly, and I just put that here, even if it's not directly linked to Majorel, we have launched a plan in France. I'm sure you have seen that. We announced it in November. We decided to make a voluntary departure plan of 600 people in France. We provided again this year €54 million for this plan. To make it simple, we have achieved -- and we will achieve €150 million synergy cost as mentioned earlier on. Let's go now to the operating profitability. Two things to tell here. Of course, the amortization of intangible asset is growing since we have now 12 months of Majorel versus last year. We had 2 months. You have the performance share plan that is still at €91 million. That will probably decline dramatically next year given the fact that the stock price has declined. So we would be probably significantly lower next year. And we have the other, which are made of the €58 million that I just mentioned for Majorel synergy and €54 million for the French plan that I just mentioned also a minute ago. Beyond that, you have €28 million of impairment of goodwill on 2 topic. One is, of course, Eastern Europe, as you can imagine, and one is on PSG for €15 million. So, it lead us to an operating profit of €1.082 billion. And after I'm going to explain you what's happening below. Financial results. I would say contrary to what I've read, financial result is, of course, increasing, not a surprise. We have put €2 billion more for 10 months. So, it's not a surprise that it's increasing. I would say, contrary, I do believe that these financial results have been under control -- very well under control. We have been able to book a lot of FX gain and rate gain that help us to reduce the financial result. If not, we would have been at the highest -- higher level, probably close to €260 million. Income tax. Here, you have 2 issue to be understood. You have the effective tax rate and the cash tax. The effective tax rate is climbing, but there is a reduction in the tax -- cash tax. What happened? We decided to not recognize any asset of tax linked to the French plan, the cost of the French plan and other, I would say, point. That means that finally, what happened really in reality with the group, we have been able to reduce the cash, what we spend in term of tax, being careful in term of accounting for the future. If you look the cash out of 2023, adding Majorel and TP, it would have been €402 million. Here, we have been able to spend only €366 million. So this is absolutely an accounting approach, and we are absolutely convinced that it's the right way to do so. Of course, this effective tax rates will dramatically reduce over the next 2 year to approximately 35% in '25 and below 30% in 2026. We do believe, in the meantime, we are going to continue to reduce our tax -- cash tax. That explain why we have been able to post such a good result in free cash flow. Cash flow. Of course, people were waiting less than €1 billion. We are above €1 billion, close to €1.1 billion. What happened? We took control of the Majorel DSO, and we have been able to get money from it. And we continue to control our CapEx that is at 2.1% this year. I do believe that next year, we'll be probably closer to 2.5%, between 2.3%, 2.5%, as we are putting much more emphasis on some specific geography. I'm thinking to India, Indonesia, Brazil and South Africa, where we are investing as we speak. Here, there is no investment. I'm not absolutely speaking of any investment in, I would say, in equity in some startups that we might look for the future. So the cash conversion rate is 52%. What happened with the debt as a consequence? Of course, we have been able to reduce the debt, not a surprise, and the level of the debt is really under control. We gave back to the market €415 million, made of €180 million of share buyback and the rest by dividend. And finally, we have a net debt-to-recurring EBITDA ratio, which is 1.9, clearly in a way where people are absolutely comfortable with that. If you look now the debt -- I'm going to skip the balance sheet. But if you look now the debt, I just wanted to reassure you, TP has a large and secured access to liquidity. There is no -- absolutely no problem with its debt. We are the only company which has a BBB rating across the board, across the competition, and we are absolutely safe on that. As you remember, we have successfully issued early January a €500 million 5-year bonds, which have been oversubscribed 6x. So, we are absolutely -- we have no liquidity issue. We are absolutely covered for the next years. The net debt excluding lease is roughly €3.1 billion, with a cost of less than 4% and with a maturity which is above 3 years. So we have no issues there at all whatever people were making. So, what has been decided, given this good cash flow, good adjusted result is to increase the payout to 4.2 -- to 48%, sorry, and to a dividend of €4.2 per share. This is what I can tell you, and maybe we can move now to the outlook.
Thomas Mackenbrock: Yes. So as you just heard that we are satisfied with the results of '24. And given the current economic situation, we also have a positive outlook for '25. We see -- or we've provided guidance when it comes to revenue of 3% to 5%. This excludes the special effect of the nonrenewal of the TLS contract as we believe that this is sort of a special effect. We see, in particular, in our Core Services, due to our investments in the business development activities, an acceleration in the second half of the year as we have just closed some new -- relevant new contract wins in that area. And we also see Specialized Services continuing to grow single high-digit, excluding the special effect. On the EBITA margin side, Olivier?
Olivier Rigaudy: Yes. In 2025, the drivers that supported 2024 EBITA margin increase will continue to apply, meaning mix effects and ramp-up of the Majorel synergies that will be close to the run rate. In 2025, further accelerated by the consolidation of the ZP with benefit from a profitability to our specialized segment. 2025 margin gains, however, reflect the reduced scope of TLScontact, roughly equaling ZP roughly. That will cause a 60-basis-point negative impact on margin. We are still hopeful to somewhat improve our margin relative to 2024 in the level of 15% to the tune of 10 basis points, maybe more, but we are cautious here. Note that the reduction in workforce that we have announced in France that we have provisioned for in 2024 will have a -- will lead positive effect mostly at the back end of the year. We do believe that the people will start to leave the company somewhere between September and October and will have little impact on 2025 guidance. We continue to believe that we are going to deliver a strong cash flow generation of net free cash flow of €1 billion before nonrecurring item. So this company is generating a regular solid and durable cash flow. We will continue to deleverage. We will continue to grow the dividend per share, and we might, of course, and I will leave the floor to Thomas in a minute, target specific investment in value-enhancing partnership in AI up to €100 million as equity investment.
Thomas Mackenbrock: Super. Let's move into the strategy update because this reflects a little bit on a, I would say, 10,000 feet level, some of the discussion and questions we have received over the last month. What is the future outlook for TP, how you see the positioning in the age of AI, and what is the value proposition for TP as a company? Just to look back, and I think it's not just to praise the last 10 years. I think you all know the numbers. It's just maybe to give one important thought. The business is not static. The TP of today is not comparable with the business that TP had 10 years ago. Over the years, new lines of businesses were added like Specialized Services, like digital operations with the Intelenet acquisition, like trust and safety business that didn't exist 10 years ago. So if we look in the future, TP in 5 to 10 years will also have a different business composition. It will rely on the same fundamentals of driving outcomes for clients, using people, process, technology and domain expertise. And in the future, this domain expertise, this know-how on certain vertical, will become more important. Why is that? As we continue to move up the value chain and focus on more complex tasks, having specific know-how on claims processing, KYC, back-office process for banks, health care insurance companies will be more in critical important. And lastly, the aspect is that TP is today one of the few truly global companies that has a global distribution network. So all the trends you see, all the new AI technology companies, when we talk to them, they look for distribution. They want to scale. And we see that this know-how and network that we have built, working for thousands of clients around the world, driving their outcomes is a huge value plus because we are able, based on these relationships, to scale these technologies and to implement them and customize them because very rarely something that you have in a demo is something that is applicable in an enterprise situation. How do we see the world? And I think this is important to know that there's been so much frenzy about the new developments of AI. And yes, AI will become ubiquitous in tomorrow's world. What we believe that in a world that is ubiquitous with AI, the element of the human, at least in this room, we are still having humans sitting here, not AI analysts or AI partners, will be also equally important because it's about building human connection. And having this element of human empathy, connectivity will be something that will be equally valuable in the future. It's not a contrast. It's not either/or. Our deep conviction is, it's about building connections with humans, humans supported by AI. That's what it says here. Copilot, so every one of you uses already AI today that assists and augments your human labor that maybe rewrite some of your text, that checks maybe some of your reports that you write that we use today on onboarding and coaching new employees, that we do for quality assurance, that we do -- maybe writing for e-mail summarization. So an AI supporting the human. And in the future, you will have agentic AI. I think that's something what you see about that AI will autonomously do certain tasks, and then the AI becomes a coworker to a human, not an augmentation, but then de facto coworker. And yes, this will happen over the next years, but it will create an even more complex ecosystem because now you have humans, augmentation for humans, agentic AI as AI coworkers and orchestrating these 3 dimensions seamlessly for somebody who wants to reach out to a company, maybe he wants to talk to a human, maybe he wants to talk to a voice bot. But this seamless orchestration on an enterprise level is incredibly important and incredibly difficult. And there, we see TP on the nexus, how many billions of interactions we support already today, very well positioned. And at the same time, it opens up new opportunities about integrating, implementing this different ecosystem. For that, we need to change, and we will change. But it requires and leverages the capabilities that we already have today. I just put this here, and I think it's just as a reminder because everybody has the news about AI every moment. But if you see even some of our, I would say, partners in the past who propagated that AI will take over everything is just now speaking about 2 weeks ago that he had an epiphany that in a world of AI, nothing will be as valuable as humans. So -- and I do believe it's important to know we have now 2 years, 2.5 years in the age of generative AI. Yes, there are many applications. There are tremendous developments. But we shouldn't forget as long as we exist and interact with each other, not just mimicking human empathy but being able to transport human empathy will be important. We will see, at least in our conviction, an explosion of interactions and explosion of conversations because AI is more conversational than even reading a text. You talk to ChatGPT as a conversation. And yes, many, many conversations will be done by agentic AI or by other tools that are automated. But still, you're looking for a conversation with the human that is critically important also to building this intimacy and building trust because TP is, at the end, an end-to-end experience company and able to orchestrate this -- sorry, to orchestrate it is something where we believe is a differentiator. And we got also this feedback from our clients more and more. So that's why if you think at our business, I think now we call it sometimes Core Services, which, I think, is a bit misleading. At the end, we have 3 pillars. One, we have the BPS, the business process services, that is the essence of TP today, managing people, process and technology at scale where we need to move into more vertical and horizontal specialization. Second, we have the pillar of Specialized Services, targeting specific target needs with integrated solutions, and we will reinforce, strengthen our TP.ai offering. And that has 2 dimensions. One is orchestrating and being the catalyst for internal transformation. This is what we're doing today. We have around 3,000 people doing solutioning work, IT consulting work, integration work, but we will harness that capability and provide this also externally for new services. I won't go into details here, but that you have an idea on the direction. Our BPS services will become more verticalized. We believe, in particular, on banking, insurance, health care, tech are really growth verticals for us, and that's what we see also in the numbers. And we will be more horizontal specialized. We believe there's a big opportunity on F&A. We believe there's a big opportunity on B2B sales, collection, tech support. So we will drive a more integrated end-to-end business and drive specific targeted solution for these product lines, if you will, or services lines. If you think about it, then putting these capabilities together, there are 4 ways to grow our core business. One, we really see growing existing client relationships, either through consolidation or expanding the value chain as an area with us. So we are growing more and more with our large embedded client base. Secondly, we believe having more technology and digital operation allows us to tap into the mid-market. So far, we have focused more on larger clients, but we believe there's an opportunity also going down to the mid-market. Thirdly, we are convinced -- we are now present in nearly 100 countries, that expanding this footprint, you see Africa for the world and scaling up some other locations, is an opportunity for us. And we see that -- I mean there are many, many years, analysts have talked about differentiated outcome-based business models. We see that today, the willingness and the capability to do so will be more prominent than ever before. Specialized Services, I think you know the business. It's a portfolio of highly specialized business opportunities with different value propositions. Most of it centered around North America, in particular, LanguageLine, where we do have to focus on this year about a successful integration with ZP, will be critical going forward. And also here, it's about the integration about a human-led process but also embedding AI insight. AI, as I said, we are today already a company that has very much focused on transform existing business. We have deployed our solution suite more than 1,500 times in more than 700 clients. So we have the capability to drive this internal augmentation, how we drive and assist and improve the processes. And what we want to do going forward is 3 things, very simple. Number one, and you've seen this, there is a new market. It's a multibillion-dollar market growing double digit, about humans training AI. Data annotation, data labeling, collection, curation is something that didn't exist. It's a little bit like content moderation, like 10 years ago, where you saw the increase of content moderation. What you're seeing now is that immense demand for human, sometimes specialized know-how, augmenting AI. And this is something we believe is a capability. It really goes across the different boards where we also have not just the big hyperscalers, but more verticalized, industrialized solution to move into that field. We have a dedicated team now. We will continue to invest in that space. And this is something where it's also about specialization and different profiles that we need to onboard to the TP platform to provide this kind of solution. So that's a business we are doing it today. It's a relevant business, but we see a lot of more potential in that field. Second -- if I can go back, let me see if it works, is TP Infinity. You've seen this before. We have a small but relevant platform of 700 people that provide essentially consulting-led services, technology-led services of implementing technology and AI solutions for the client. It's small. So you can do the math. It's like 1% percent of TP's revenue, but this is something we want to accelerate further. This is also an area where we believe we can accelerate the development because we see a need from the clients for a partner like us helping them to navigate. And as we do come from the operations, we do believe we have the credibility on the floor to make this happen. And then the third element is TP.ai solution. So this is something some of you have probably read about. It's not just Software-as-a-Service. It's Service-as-a-Software. Obviously, having the capability of our decade-long experience in running processes and having this global client network, having the tools that we develop internally or using the tools of partners, we believe there's really a chance of building an ecosystem. We're agnostic to the solutions, but building more strategic ties with selected partners of creating unique value solution, either by vertical or for horizontal expertise in that space. We have announced one now with Sanas that you -- gave you the example that focus more on the human side. But there are many more opportunities, and so I have to say stay tuned, of driving AI-led solutions by vertical or horizontal application in that field. And that's something that allows a differentiated approach, drives a win-win solution, not just for the AI company and us by scaling them up, but also providing unique access for our clients in that field. So that's essentially it. I know we are a little bit running out of time. To put it, again, 10,000 feet, we believe having a more verticalized BPO solution approach for our core business, continue to invest on our Specialized Services, drive internal adoption and external adoption for TP.ai positions TP well sort of to take advantages of this changing landscape and to drive the business in the right direction. To give you more insight, so this is a little bit the outlook, we are also decided to have a new Capital Markets Day in 3 months from now -- 4 months from now, June 18, where we will give then more deeper insight and deep dive on the solutions, also some updates on the strategy in that regard. We are now open for questions.
A - Olivier Rigaudy: We'll start with the people here.
Thomas Mackenbrock: Yes, Suhasini. No, you have a mic -- I think he's jus getting it. Suhasini, I think was the first. Ladies first.
Suhasini Varanasi: Suhasini from Goldman Sachs. I have three, please. First is on your medium-term strategy where you talk about mid-single-digit medium-term growth on top line. Is that fully on an organic basis? Or is it organic plus M&A? I see that you haven't discussed capital allocation per se at this point. So, any color on that would be appreciated. The second question is on the contract loss in Q4. When did the contract end? Did you have any impact on growth and margins in the quarter in Q4 already? And the third one is on free cash flow, please. For 2025, you're targeting €1 billion of free cash flow, but that's before the nonrecurring items. So what is the cash cost of the nonrecurring items in 2025?
Thomas Mackenbrock: You want to go first with cash flow?
Olivier Rigaudy: Yes, cash flow. So difficult to tell, but I believe that we will have the French plan, €54 million, and maybe something between €20 million to €30 million additional million coming from the last cost linked to the synergy of -- Majorel synergies. It's a rough figure, but let's put that. So we should be on this amount. On the question of TLS, the impact in Q4 is mostly on sales. Of course, there is an impact in margin, but the impact on sales is roughly €20 million in Q4, notably, mid-November to end of December.
Thomas Mackenbrock: On the midterm outlook, yes, that's organic. Obviously, we are working now on a more detailed breakdown of our M&A strategy where we provide an update. And then we have to see how much we can add depending on where we will invest.
Antonin Baudry: This is Antonin Baudry from HSBC. Three question. The first one is, would it be possible to give us more color on the visibility you have today on your revenue growth compared to last year? Would you say that you embed the same kind of cautiousness as last year in the growth guidance? And would it be possible to have more granularity between the performance you expect in Q1, Q2, Q3 and Q4 2025? I would want, in the second question, to come back on the contract loss on TLS. What explain this loss? And is there other big contracts that you could lose like that on this business or another? And my third question is about margins. So 60 basis points negative impact from FX in 2024, 60 basis points from this contract loss in 2025, so at the end, what is, for you, the long-term margin that you could reach for the group, Teleperformance, in, let's say, midterm?
Thomas Mackenbrock: So maybe I can start, and then yes, I hand over. So regarding guidance, as I said, we have a special effect, which has an impact on our business as we had last year, 1 day more essentially in Q1, and we do see, from the dynamic, a stronger growth dynamic in the second half of the year. So we try to be, of course, always prudent, but we do expect that the second half of the year will be stronger than the first half of the year. The second question was on the dynamic for TLS. So as I said before, we don't have any contracts up for renewal till 2028. So that's why we don't expect any negative surprises on that front. And it was a contract that we had for a very, very long time.
Olivier Rigaudy: Start 2013.
Thomas Mackenbrock: Yes. So it's a very long contract. We have a long relationship. We still work for that customer. So it's not that we lost the customer simply that after this long time, we lost this contract.
Olivier Rigaudy: Third question was on margin. So I'm not going to speak before the Capital Market Day because it's a question that you want to have, but there is no reason by which we should not continue to increase our margin. Just to be clear, 2024, of course, you had the FX impact, which is significant. I'm not too sure we will have this impact in 2025, but we have been careful on it. Of course, the dollar will -- should help in 2025. I'm not sure people have understood that. But it's too early to tell, and we are only end of February. There are still 10 months to go. So it's hard to tell. But that should be positive, either in translation, but also in transaction, but again, it's too early. The second part is -- of course, the TLS impact is a one shot, and it's not going to happen on a regular basis. It has been a long discussion with the client, and Thomas was mentioning. We are working with these people for the last 15 years -- 12 years in a row. There have been ups and down. We have grown very, very much with these people. We have been very, I would say, disciplined on price, let's put it this way.
Antonin Baudry: So, should we expect the midterm guidance at Capital Market Day in June?
Thomas Mackenbrock: Yes, we're working on it.
Olivier Rigaudy: Of course. But if I may, if you look what Thomas was just presenting in the previous slide, if I am able to do that, he was speaking in term of growth, so mid-single digit, medium-term growth. That's what I just wanted to highlight.
Thomas Mackenbrock: Yes. You just have to look at -- I mean there are many analyst reports on market dynamics. Obviously, in the times of change, there's many disruption. We really do believe that TP is well positioned for taking these new opportunities. As I said, AI operations, data operations is a growing market, double digit, where we see potential. The whole advisory service for AI digital CX is a growing market where we see potential. If we move to back-office areas, F&A, B2B sales is a growing market where we see potential. It's about leveraging the capabilities that we have in the right direction to leverage our opportunities in that space. We have businesses. We work with the clients. It's about investing in the right skills and scaling them up. And I think that was my comment before TP has been at the past, maybe not always the first to enter into a new trend, think about content moderation. But once they enter and put the full force behind it, I mean trust and safety is now €1 billion business for us. They have been very successful of doing so. And I think that's where I see now after 2 years of AI and little bit reorientation after the COVID years, leverage the power of TP as a global excellence platform, I would call it, and focus on these growth areas where we see opportunities. And that's essentially then scaling them up. And it's not -- I would say, it's not rocket science. It's about execution. That's 90% of the focus here.
Olivier Rigaudy: And if I may, if we look the guidance of the global sector, first of all, we have not missed it in 2024 versus others. And we are, I believe, at the high range of all the profession in 2025. I just wanted to make it clear.
Remi Grenu: Remi Grenu from Morgan Stanley. Three questions on my side. The first one is on the TLS contract. Just as a follow-up, you flagged price discipline. So is there any kind of pricing pressure in that specific activity? And are you seeing any opportunities to offset that revenue loss by additional outsourcing contract or other opportunities within TLS specifically? The second question is on Core Services or business process services growth in Q4, which has seen an acceleration. I'd like to understand what you're thinking about the breakdown between what is your end markets improving and what is market share gain because it seems that you invested quite a lot in sales force over the last few months. So what's been the contribution of that investment you've made? And the third one is on working capital, a bit of an inflow this year, which I think you mentioned was partly driven by Majorel. Can you elaborate a little bit on the assumption you've made for 2025 within that €1 billion free cash flow guidance and whether that improvement is something you think is sustainable?
Thomas Mackenbrock: So let me start maybe with the first, and then I hand over to Olivier. If you see -- I'm just going to that page, our performance by region, as I said, we have grown 4% in Core Services in Q4. We definitely outperformed the market on that regard. So if you look at listed players, if you look at industry analyst report, so from perspective, yes, we have performed better than the market. But the question is how you also define the market. As I told you on this chart here, we've seen quite significant growth, in particular, in back-office services. We also have grown in our care services. So there, you have the benchmark to CX BPO. So we see that we are, with our portfolio and our strength, very well positioned sort of to outperform the market, but also have the ability to enter into new growing fields. For TLS, I mean, you've seen the math in the guidance. If we adjust our guidance for the group by 1%, you have an idea, it's quite relevant. So unfortunately, as TLS is not such a large business, it's not growing without the loss of the contract.
Olivier Rigaudy: And frankly, when it come to this type of business, it's very long contract between 4, 5, 6, 7 years. So there is always discussion with the different government to define a path for the 5 or 6 or 7 coming years. So of course, there are discussion, but there is not a specific price pressure on that. So there are discussion as always. So it's different from the core service, where you have contract which are much more shorten -- which are shorter than in case of TLS. So it's a specific topic, a specific case. When it comes to working capital, we have been, I would say, careful in our assumption. Of course, this is something which is difficult to predict, as you can imagine, depending when your growth is happening. If your growth is happening at the end of the year, you are much more in the working capital than your cash. We do believe that our working capital should be between minus 50, plus -- minus 40 -- 50, plus 50, let's say 0. It's between -- within this bracket, which is very, very difficult to predict on a basis of €2.2 billion of client -- on the balance sheet.
Laurent Gelebart: Laurent Gelebart, BNP Paribas Exane. So I have 3 questions. The first one relates to your cost cutting plan of €150 million regarding Majorel. So you have been adding France on top of this. So what will be the end number regarding the cost synergies you are expecting? Second, in terms of margin bridge in 2026 compared to 2025, what will be the impact...
Olivier Rigaudy: '26?
Laurent Gelebart: 2025, sorry, versus 2024, what will be the impact of synergies in your margin bridge? And the third question refer to your OpEx investments in 2024. So you have been reinvesting in sales force and other stuff. Is it done, achieved? Or do you expect to invest further going forward?
Thomas Mackenbrock: So let me start with the rest. We have really strengthened the team quite significantly. Typically, you have an onboarding period. If you hire a new sales or business development person, it takes some time to onboard it. But we are quite happy with the strength of the team, even though there might be changes. So we don't see that we need to invest net on top of that team, but the real power and the effect of the new strengthened team will come into play more in the second half of this year.
Olivier Rigaudy: As far as synergy is concerned, you have 2 issue. One is the carryover of the synergies that have been recorded in 2024, plus the new synergies that are going to be implemented in 2025, of course, because the synergy of '24 have not started from day 1. So the idea was to be -- again, to be careful. We expect to have something between €30 million. So we will achieve the figure of €150 million by 2026, but most of it will be done in 2025, let's say, €30 million more -- roughly €30 million more -- €35 million more. On the cost of the plan, it's clear that the plan of France will have very few impact. So French plan has nothing to do with Majorel, first point. I just wanted to be clear. This plan will -- we don't know exactly when this plan will be happening. You know there is a process that has to be followed. You need to negotiate to get the agreement from the authority. So it's difficult to tell. But probably a part of the plan will start to be executed end of June, but most of it in the last -- starting September and October. So the impact of this plan in 2024 will be very, very limited -- in 2025 will be very limited. We expect to have a return of €20 million in 2026.
Raphaël Moreau: Raphaël Moreau, Amiral Gestion. Just a question on Core Services and sequencing of your growth for '25 quarter-by-quarter. I mean, '24 was -- you saw this acceleration of growth. So the base effects should become tougher and tougher over time. And it seems you are talking about better growth at the back end of the year. So I wanted to understand the reasons for that.
Thomas Mackenbrock: As we said before, so obviously, for the business process services in Q1, there's the fact of having a day less. We also see that some new businesses are kicking in more in the second half of the year. So that's why I have to -- I can provide you more update once we publish our Q1 numbers how the first quarter went.
Olivier Rigaudy: The classical new contract are sold at the end of the year, put in place in Q1, Q2 and start to deliver in Q3, Q4. That's classical, I would say, pattern.
Thomas Mackenbrock: But we are not unhappy how the year started.
Olivier Rigaudy: Yes. Okay. Is there a question online, please?
Operator: [Operator Instructions] We will take the first question from line Sylvia Barker from JPM.
Sylvia Barker: First -- 3 questions, please. Number one, could you just go back on the 2024 margins, please? So you have synergies of 90 basis points. You have some mix benefits, and yet the margin is up 10. Can you just quantify the impact of FX and any other impacts within that bridge, just to understand all of the negative impacts? Yes, so I do them one by one, if that's easier?
Thomas Mackenbrock: Yes, it's easier.
Olivier Rigaudy: So, when you look 2024, you have roughly a 90 basis point of synergy positive impact, plus 30 basis point from the mix impact, to make it simple, linked to the growth of the specialized service, coming to -- coming from the growth of specialized service with a better margin. So beyond this €120 million, you have €110 million negative, €60 million coming from FX, split roughly equally between transaction and translation, and €40 million to €45 million linked to the what we have invested in business development force all along the year.
Sylvia Barker: Perfect. Very clear. Then on the restructuring in France. So. could you maybe just give us a little bit of background on that? But also I guess, as you have seen this big accelerated move away from onshore into more offshore and then shifts within offshore within the regions, do you now see other regions, let's say, U.S. onshore or, I don't know, Colombia where you have to scale down as well because you have facilities which maybe you're underutilizing because people have kind of transitioned to -- the business has transitioned elsewhere?
Thomas Mackenbrock: I didn't get the last comment.
Olivier Rigaudy: Me, too.
Thomas Mackenbrock: What did she say? I didn't know.
Olivier Rigaudy: I'll leave you the answer, Thomas.
Thomas Mackenbrock: So, I think France is a particular case. It's really -- it's just -- yes, it's a voluntary plan for -- as Olivier said it, for 600 people. In the other markets, of course, we see movements up and down. It's the normal part of the business. So yes, as I said, I think in our Q3 numbers, we've seen a growth in our offshore locations, and we see, in particular, in the U.S., in India, but we saw some pressure in the U.S. onshore. But this is a normal -- I mean it's the day-to-day of the operation. I think -- yes, so it's not -- given the size of the organization with almost 0.5 million people, there are always ups and downs.
Olivier Rigaudy: And France is a specific situation linked to the fact that we are -- we need to adjust the tool, if I may say, to the new approach. We are too scattered. We have to -- so we need to approach that. We need to rationalize that. So we are on the run. This is done, I would say, with responsibility. Everything is done properly. There is a voluntary plan. People are not forced to leave, and we are going to make it as smooth as possible, but to make sure that the French business will come back to a better situation starting 2025. And the third question?
Sylvia Barker: Can I ask one more?
Olivier Rigaudy: No, you had a third question. I missed it.
Sylvia Barker: Yes, so just on trust and safety. Given all the news flow we've had from the kind of social media platforms, is that business going backwards now because it seems like there's less requirement for it? Or how is that developing? Because it's quite a big chunk of the process.
Thomas Mackenbrock: Yes, to be honest, we -- I think we talked about it briefly in our Q3 numbers. There is -- there was sort of some developments and, as I said, a reduction in our trust and safety business, but it has recovered quite nicely in Q4. And in particular, as I said, our data labeling, annotation business, we saw some recent wins in that area, and that's reported also in the trust and safety bucket. So, there is some movements, to your question. The pure content moderation, we saw some slowdown, but it was -- been nicely compensated in Q4 by our data annotation, data labeling wins. Other questions online?
Operator: Yes, we will take the next question from line Will Kirkness from Bernstein.
William Kirkness: The bridge you did on the margin for FY '24 was really helpful. Would you be able to do the same for '25? Because I think you've obviously got some synergy flow-through, and then you also got a positive mix impact from ZP. So it would be really helpful to understand what the sort of gross uplift is and then the gross reduction, yes, [indiscernible].
Olivier Rigaudy: For '25, I will try to explain you how we see the margin as of today. You have a negative impact you understood from the TLS contract that is not going to be renewed of roughly 60 basis point, which is, I would say, neutralized by the ZP integration in the group of 60 basis point. So you have -- it's a wash. And after, there are, of course, a positive impact of the synergies that I just mentioned a minute ago, less some costs that have been incurred last year that will continue to be -- that will be the carryover of 2025, plus FX, plus the fact that the group is careful, to make it simple.
Thomas Mackenbrock: Thank you. There's more --
William Kirkness: Can I ask one follow-up quickly?
Thomas Mackenbrock: Please go ahead.
William Kirkness: And it was just -- it was on the growth. Just going back to what you've given previously on gross wins offset by churn with the automation and offshoring. I wondered if you could just perhaps talk about either the 4% or the midpoint of FY '25 range of, say, 3%, how you see that in terms of gross wins and what's been falling out in terms of automation or whether that the offshoring theme is still quite potent.
Thomas Mackenbrock: I would say we are -- we had the same discussion, I think, when we were in Q3, and we're guiding sort of to the last year. There was the question, how will the last year end? It is a very dynamic market. I do believe that when it comes to some of the trends we have seen in the past, we are careful of adjusting for it or being reflecting it, so that's why we provided the guidance we have given. So I cannot narrow down the guidance at this point in time as we are entering a very dynamic situation. I do believe we are really well positioned. We see strong momentum and demand from the clients. As I said in Q3, we have a strong pipeline, so we have more signed and verbal than last year. But as you said, it depends also how our existing business, the churn develops. So from that perspective, this was the basis for the guidance we have provided. But it really depends on the execution month after month where we end up with. The beginning of the year was positive, I would say. But we still have to work another 10 months before we can deliver the 2025 numbers. One more?
Operator: We will take the next question from line Karl Green from RBC.
Karl Green: I've got 3 questions, perhaps take them one by one. The first question was just around the AI investments. You've talked about Sanas there, which looks really interesting. Can you indicate how much you're investing in Sanas specifically, i.e., how much extra have you got left to get to the €100 million of investments? And also just thinking about the P&L impact of that in terms of the equity contribution to the P&L. Is it likely to be positive or negative or broadly neutral? That would be the first question, please.
Thomas Mackenbrock: So, it's very simple. We have invested $13 million into the last Series C round of Sanas. So we are now a minority investor in the company, full stop. We are working on more opportunities in the pipeline. I have to be cautious. I'm always -- try to be cautious. And let's see, so the guidance of the €100 million, you can do the math, how many other partnerships come up in that range, but we will not feel pressured. I think we are trying to really create a situation that has a strategic benefit for our clients, for TP and for our AI partners, and we will do this in a very sort of prudent manner. I really do believe that having these kind of partnerships is an open approach because the world is very agile. I don't believe that we can build all these AI technologies within the company. It's possible, but being able to work with some of these interesting start-ups, not just in the U.S. but also in Europe and Asia, creating the situation where we take maybe an equity position, find a strategic arrangement allows us really to capture the opportunities in this evolving landscape. So, I will tell you on the -- in June at the Capital Markets Day, the progress. I hope I can report by then more, and we are working on this in a manner, and we'll really evaluate every month if it makes sense to continue to invest or not. It's as simple as that. But there's a lot of interest, I would say, from the ecosystem. We got a lot of inquiries. And I do believe if we are selective and prudent, we can really create some value-enhancing opportunities for us. On the equity investment and potentially, but this will take some time. And obviously, these companies are also not that large also on our P&L.
Karl Green: Understood. That's very helpful. The second question, just in terms of the finance charge, I think you've been very clear about what the expected tax rate is going to be. But just on the financial results, just looking at the variance between 2023 and 2024, there's been a nearly €60 million swing on the other financial income and expenses. And if I understand it correctly, your new adjusted net income definition would include those other financial income and expenses. So that kind of is -- what it is. The question would be, therefore, would you expect a similar level of net other financial income in 2025 as in 2024? Because it would appear that the core financing cost, the net financing cost before those items was a little bit higher than consensus was expecting. So just some clarity there would be helpful.
Olivier Rigaudy: What I expect in 2025, of course, we will have the cash flow that will come on stream, but you will have, of course, the debt that we have been raised to pay ZP from early February. So there is an impact here, increasing the cost of the debt by mechanically. Of course, the cash flow will be reducing a part of it. As far income tax is concerned, I just wanted to be clear. What we have done is to follow a very, very, I would say, careful, prudent approach in recognizing tax assets. We are very, very, I would say, spread across the world. There are different situations on which I'm not going to enter, but where we are very, very careful. We do believe that we will be able to recover it, probably starting 2025, 2026, but we are careful in the recognizing of such assets in the balance sheet and in the P&L. While in the meantime, we are developing plenty of, I would say, approach, tax planning to reduce the tax cash, which is really what matters to us.
Karl Green: Okay. And my last question is just around the contract wins, which I think you referenced in Core Services, which are likely to kick in, in the second half of this year. Can you give a bit more color about the kind of verticals that they're exposed to? And are they the more verticalized type contracts, i.e., more BPO content than the sort of classic CX? Just give a bit of color there would be helpful.
Thomas Mackenbrock: So, we saw in Q4, that's what I said, double-digit growth, and it doesn't start with the one on our back-office side. So, we're quite happy, and we want to accelerate this further. On the verticals, it's quite broad. If I look about it, it's about on the tax side as well as on back office. We have recent wins on the back-office side, also on travel and hospitality, logistics, banking side. So, it's really across the board. I really do believe if you look how we strengthen the team that we got more vertical expertise and functional expertise, and that's where we're focusing on. I think it will be a more differentiated offering. And I do believe if we leverage and have the right resources on board, we really can make a change happen, leveraging our global platform. It will be, as I said, not in Q2 and more in the second half of the year. This is based on our recent expectations.
Olivier Rigaudy: I just wanted to tell a word before the end of this session. I just want you to consider that we are a company that is going to deliver a sustainable free cash flow of roughly €1 billion a year. And I'm sure that you have to understand that, all of us, whatever the AI discussion we might have, whatever the margin discussion that we can have, this company is safe, solid and will continue to deliver a solid free cash flow. Thank you all.
Thomas Mackenbrock: Thanks, Olivier. Also, thank you from my side.